Operator: Welcome to the LeMaitre Vascular Q2 2025 Fiscal Results Conference Call. As a reminder, today's call is being recorded.
Dorian LeBlanc: At this time, I would like to turn the call over to Mr. Dorian LeBlance, Chief Financial Officer of LeMaitre Vascular. Please go ahead, sir. Thank you, operator. Good afternoon, and thank you for joining us on our Q2 2025 conference call. With me on today's call is our CEO, George LeMaitre; and our President, Dave Roberts. Before we begin, I'll read our safe harbor statement. Today, we'll be making some forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995, the accuracy of which is subject to risks and uncertainties. Wherever possible, we will try to identify those forward-looking statements by using words such as believe, expect, anticipate, pursue, forecast and similar expressions. Our forward-looking statements are based on our estimates and assumptions as of today, August 5, 2025, and should not be relied upon as representing our estimates or views on any subsequent date. Please refer to the cautionary statement regarding forward-looking information and the risk factors in our most recent 10-K and subsequent SEC filings, including disclosures of the factors that could cause results to differ materially from those expressed or implied. During this call, we will discuss non-GAAP financial measures such as organic sales growth. A reconciliation of GAAP to non-GAAP measures discussed in the call is contained in the associated press release and is available in the Investor Relations section of our website, www.lemaitre.com. I'll now turn the call over to George LeMaitre.
George W. LeMaitre: Thanks, Dorian. Q2 was strong across the board, with sales up 15%, a 70% gross margin and EPS up 16%. As a result, we're increasing full year guidance for sales, gross margin, op income and EPS. Q2 sales were led by catheters, up 27% and grafts up 19%, while Valvulotomes and [ Chunnt ] were both up 13%. By geography, EMEA grew 23%, Americas, 12%; and APAC 12%. Our international Artegraft launch exceeded expectations in Q2 with sales of $420,000, up from $185,000 in Q1. International Artegraft sales should surpass $2 million in full year 2025. Artegraft is currently approved in the U.S., EU, U.K., Australia, New Zealand, South Africa, Israel, Thailand and Malaysia. And 2026 approvals are likely in Canada, Korea and Singapore. Artegraft is the company's largest U.S. product in 2024 with $37 million in U.S. sales. As for RestoreFlow, we continue to anticipate at least one European approval in 2025, either Ireland or Germany. Unfortunately, there is no EU-wide approval for Allografts, but one approval in Europe should expedite others. To support the impending European launches, we are opening a RestoreFlow distribution facility in Dublin this year. RestoreFlow is currently approved in just 3 countries: the U.S., the U.K. and Canada. In China, our XenoSure vascular patch remains on track for final submission in Q4. Approval might come in 2026. This follows the Q4 2024 Chinese XenoSure cardiac patch approval. We ended Q2 with 164 sales reps and 33 sales managers, and our international go-direct efforts continue. We recently posted our first Portuguese and Czech direct-to-hospital sales. 2025 is shaping up to be another year of healthy sales and profit growth. I'll now turn the call over to Dorian.
Dorian LeBlanc: Thanks, George. LeMaitre's strong organic revenue growth continued in the second quarter. Our 15% organic growth consisting of 8% price growth and 7% unit growth was highlighted by the strong unit growth of Artegraft, XenoSure, RestoreFlow and catheters. Our biologics continued their strong growth. And as George discussed, our current regulatory progress provides future international growth opportunities across the biologics portfolio. Cardiac RestoreFlow was the largest product contributor to unit sales growth as our sales team continued to expand on our success at open cardiac. In Q2, we initiated a packaging-related recall on a portion of our catheters. After a temporary supply disruption, customers placed stocking orders late in the quarter, which boosted overall catheter sales. We don't expect this to be repeated in Q3. Year-over-year reported revenue growth of 15% benefited from the weaker U.S. dollar as foreign exchange added $1 million to reported sales. This was offset by the Aziyo discontinuation, which decreased reported revenues $1.1 million. In Q2 2025, we posted a 70% gross margin. The 110 basis point increase year-over-year was driven primarily by higher average selling prices, the continued benefit of manufacturing efficiencies and positive product mix. Operating expenses in Q2 2025 were $28.8 million, an increase of 20% versus Q2 2024. The increase was driven largely by higher compensation expenses, including the addition of 23 sales professionals and the expansion of our European direct sales model, including the Portuguese and Czech go direct efforts. Q2 2025 operating income was $16.1 million, up 12%, resulting in an operating margin of 25%. Net income increased 17% year-over-year to $13.8 million. We benefited from $1.7 million of net interest income in Q2 as yield on our invested cash exceeded interest expense on our convertible debt. Fully diluted EPS was $0.60, up 16%. We ended Q2 2025 with $319.5 million in cash and securities, an increase of $17 million in the quarter. Cash from operations generated a record $20.3 million in Q2, and we paid $4.5 million in dividends to shareholders. As the landscape around international trade continues to evolve, LeMaitre remains confident in our global business model. So far, the only tariff-driven price adjustment we've made is a 25% average increase in China. During the quarter, we also increased inventory at our international warehouses, anticipating potential tariff increases. Our U.S.-only manufacturing, niche product portfolio and direct sales model give us confidence tariffs will not materially impact our financials in the second half of the year. We have raised our full year revenue guidance to $251 million and 15% organic growth due to the impact of our growing sales organization and our success across global markets. We anticipate a full year gross margin of 69.7% and operating income of $60.9 million, up 17%. We expect operating expenses to be lower in the second half of 2025 versus the first half of 2025, resulting in a 24% operating margin for the year. We also have increased our guidance on fully diluted earnings per share to $2.30, up 19%. With that, I'll turn it back over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Michael Sarcone of Jefferies.
Michael Anthony Sarcone: Good afternoon and thanks for taking the questions . Just first one for me. You talked about some of the stocking orders at the end of 2Q. I guess could you just give us an update and maybe help quantify what the impact was in the quarter? You did have some pretty strong unit volume growth of 7%. Just wanted to get a sense for how much that was impacted by the stocking.
George W. LeMaitre: Right. So we -- it's -- you can't always tell, but we -- Mike, this is George. Nice to talk to you -- we're thinking it's around $800,000 in the quarter, and that's around that catheter recall, which Dorian detailed for you.
Michael Anthony Sarcone: Got it. Very helpful. And then figure I'll ask another strong quarter of price taking at 8%. Maybe you can talk about how you're thinking about the sustainability of that level of price taking going forward?
George W. LeMaitre: Right. So maybe during this year, we don't have to think about it too much. We're starting to establish a pattern in Q1 and Q2. And so maybe it's set up for the year. As to next year, I don't know. We did -- I remember last fall, we started getting questions very early about when will you do your price hike and how much will it be? And of course, I don't want to go -- I know you're not asking me to go into 2025, but we will certainly do a price hike on January 1 around the world. And I would say the cadence that we've set is probably what happens, but we just don't know. And we can't commit to anything just yet.
Michael Anthony Sarcone: Understood. Thanks George.
Operator: Our next question comes from Michael Petusky of Barrington Research.
Michael John Petusky: So I guess I wanted to ask or try to drill down a little bit more on the unit volume growth. Obviously, it sounds like the catheter stocking contributed to that. But you guys also called out Artegraft, which I guess I get because of the CE Mark and the MDR there, but also XenoSure and I think possibly 1 or 2 other product categories. Could you just sort of drill down on what may have been going on there? Because honestly, 7% is -- it's a big number relative to recent history and obviously, a great number.
George W. LeMaitre: And Mike, this is George. Nice to talk to you again. And yes, we agree, it's a bigger number. If you extract out the catheter thing that we just talked about, it's really 5%. And quite honestly, that's sort of the last 3 years, 2023 was 5% 2024 was 4%. And so far -- sorry, and I don't know what the H1 number was. I'm only going after. This stripped out of the catheter thing is 5%. With the catheter stripped out, it's 5%. But let's go further here because you touched on a couple of other good topics here. It's not just all about the catheters. Artegraft, as you know, is in the middle of this really nice European launch and the units were up 10%. XenoSure just had another great quarter. It was up 9% in Europe and RFA cardiac was up 61%. So we keep making strides on a small base, albeit, but with the RFA cardiac, that seems to be really working, particularly in the United States.
Michael John Petusky: Okay. Terrific. And I want to make sure Dave gets in on some action. Anything interesting to talk about just in terms of assets that are out there, conversations you're having? Any areas of interest that may be new?
David B. Roberts: Mike, thanks for the question. I would say nothing like too new and groundbreaking. We do continue to hunt in open vascular and cardiac surgery. We now get about 13% of our revenue in cardiac surgery. We have issued a few term sheets in the last few years. So we have been active, but nothing really new to report on this call. I think our revenue sweet spot is $15 million kind of minimum and then on up from there to, I don't know, $100 million, $150 million of revenue. I think probably preferentially, we like the drop-ins, but occasionally, there's a larger target we might look at.
George W. LeMaitre: Mike, this is George again. Maybe a little bit more detail. You asked about the unit growth. Maybe I can go back and give you the last 4 quarters because I was not able to pull that Q1 from memory. But here they are starting in Q3 of last year. This is unit growth, not price, just unit growth, 6%, 6%, 4%, 7% being this quarter. So 6%,6%, 4%,7%. I think if you put all those together, you're getting a 5% type company unit growth, not price.
Michael John Petusky: I not remembering unit growth quite that strong but thank you appreciate it.
George W. LeMaitre: And operator, maybe we need to line up the next question here.
Operator: Yes. So our next question comes from Brett Fishbin of KeyBanc.
Brett Adam Fishbin: Just wanted to follow up again on Artegraft, seemed to see a nice sequential increase there in the revenue. And I just wanted to make sure that we heard the comments for the full year correctly. I wanted to verify $2 million was the full year number. And then if that's right, it seems to imply maybe around $700,000 on average per quarter in the back half, which is about double what you previously expected. So maybe just talk more about what's driving the upside versus your preliminary expectations from last quarter.
George W. LeMaitre: Brett, it's George again. Thanks for the question. It's a great question. Yes, you did hear right, it's $2 million for the year, and we've logged 480,000. Is that right? It was $200,000 in the first quarter and then $400,000 in the second quarter. So that makes your math approximately correct. I think we're not going to guide on exactly when the stuff happens in which quarter, but obviously, it can only happen in 2 quarters. So yes, I mean, I think we came on -- remember, we only got the approval, I think, at the -- right before the earnings call, the last time or -- yes, right before the earnings call, I think we were typing it in that day or something like that. So we didn't really have much experience in Europe with the device before that. And so you're seeing us piling up 2 months of nice results in Europe and also in South Africa, in particular as well. So it's going quite well. And so we're just pushing the guidance up on that particular product because we know you want to see that called out.
Brett Adam Fishbin: All right. Really helpful. And then just one follow-up for me. Just some of my math seems to suggest a pretty significant operating margin ramp in 4Q as compared to 3Q. Just wanted to kind of gut check that cadence. And maybe if you could just call out any moving pieces between 3Q and 4Q that would support a much higher exit rate coming out of 2025.
Dorian LeBlanc: Yes, Brett, thanks. It's Dorian. I think there is some seasonality here. Q3 tends to be one of our lower quarters with the European summer impacting revenue. So you're going to see -- if you maybe probably do the math to imply the fourth quarter, you'll see a revenue difference stepping up from Q3 to Q4. And in addition, I think we mentioned in the script that overall operating expenses lower in the second half of the year than the first half. Again, there's the seasonality element there around variable compensation as well. But we also did set the table in the first half of the year with some of the investments we made around the increase of the sales force, the go-directs in Europe, some of the office builds. So some of that will fall off in the second half of the year, things like recruiting fees and the product launch costs for Artegraft. So we'll have the benefit of that. We do have a benefit coming through as well around the regulatory expense for the MDRs. That's largely behind us. So in the third and fourth quarter, we'll see some of that coming off.
Brett Adam Fishbin: That’s great. Thank you.
Operator: Our next question comes from Rick Wise of Stifel.
Unidentified Analyst: This is Annie on for Rick. So for the first one, I was just curious about your sales force expansion plans. On the last call, I believe you were targeting 170 sales reps by year-end, and it looks like you ended 2Q with 164 reps. So are you still feeling good about that 170 number? And separately, can you talk to us about where you plan to focus these new reps from a product or geographic standpoint?
George W. LeMaitre: Okay. Annie, thanks a lot for the question. It's George. Yes, so we got to 164. I would say if we said 165 to 170, I think that was what we were after last time. You may remember 170. I feel like we're sort of more in the 165 range right now, but I don't think that's a material difference. I think we've gotten up to a place, and we feel really good about it. You can see the results in Q2. So I think 165 is where we're going to wind up at the end of the year, although these things turn on a dime, 3 people quit, you hire 5 people. It goes up and down. In terms of where and what product lines, same business as usual. We have -- at this 164, we have 77 reps in the U.S. -- excuse me, U.S. and Canada. We have 57 in Europe and 30 in Asia Pac, and they all carry the entire bag. There's no specialized sales forces here.
Unidentified Analyst: Got it. Thanks for the color there. And then Also, I'm wondering how we should think about international sales growth heading into the back half of the year. It seemed particularly strong this quarter, up 21%. So curious if we should expect similar growth into the back half or if there are any specific market dynamics that we need to be sensitive to?
George W. LeMaitre: I mean we try not to split up the guidance between what's going to happen in North America and Europe. But I think you can tell, things are going great in Europe for us. And the big opening here, the very big opening that we've got is this Artegraft in Europe right now thing. We also have coming along, as I mentioned in my script, RFA in Europe, and that will come along. It will come along later. Maybe that's material revenues in '26 -- late '26, I don't know, early '26, something like that. But right now, you do have that dynamic, which is in Europe. You don't have that type of mega launch going on in the U.S. That being said, we've had a nice turnaround in the U.S. proper over the last couple of quarters. And this quarter with Americas being a 12% number, I think reported and organic was -- can anyone help me what was the organic Americas number? 15% -- sorry, 15% organic Americas number. You're starting to see the U.S., not just Canada now, but the U.S. sort of pull the cart, if you will, in North America. So we've got a couple of nice quarters in the U.S. So not to be forgotten about is the U.S., but of course, as you can see, 23% reported growth in Europe, things are going fantastic over there for a number of reasons.
Unidentified Analyst: Got. It thanks so much.
Operator: Our next call comes from Suraj Kela with Oppenheimer & Company.
Suraj Kalia: George, can you hear me all right?
George W. LeMaitre: Perfectly, Suraj.
Suraj Kalia: So George, a couple of questions, and I'll pose them right up front. George, there is generally a certain level of uncertainty in the trade and tariff environment. I appreciate your commentary about China being one of the pockets where you'll have managed these issues. But as you look at the current environment, George, how do you all strategically prioritize different products for price increases versus volume impacts, I guess I'm trying to understand what is the sensitivity of different buckets of products. How do you -- how are you navigating? I got to increase the price for Artegraft, I got to reduce the price for RestoreFlow or whatever in the current environment. Obviously, nominal growth is important. I get that. But just as you long term, strategically, as you think about it, I'd love to get any color there, if possible.
George W. LeMaitre: Yes. And of course, Suraj, thanks for the question. Of course, this is a huge topic at the end of every year as we're going over the cusp of the new year. I mean I would say it's just -- a lot of it is driven by logic. If you have 80% market share in a smallish market, you can move prices. And if you have 12% market share in a large market, you can't move prices. So I think the foundation of this company is we try to stay in niches where we can have some kind of impact in that niche. And that means going back to the Jack Welch strategy over and over again, Chairman of GM -- excuse me, GE, if you're #1 or #2 in the market, things are going to go well for you. If you're #4 in the market, you're going to be struggling and you're going to be taking prices from someone else. So I would say maybe it's not much more complex than the Jack Welch #1 or #2 in the market strategy. Internationally, maybe we have a little twist on this, too, Suraj, which is if you go to places, for instance, we went to Thailand, you saw that. We went to Portugal recently. If you go to some of these slightly off the beat and track markets, you find that the other big competitors in Vascular don't necessarily follow you because they feel funny going to the Board of Directors and saying, "Hey, we're going direct in Korea next week. And they're like, why are you doing that? And as a result, I think we're finding ourselves in these off the beat and track markets where we can take advantage of pricing because the other competitors don't follow us to those markets. So 2 ways to look at it. I hope that starts to answer your question, Suraj.
Suraj Kalia: Fair enough. And George, how would you characterize the churn in your sales force in the current environment?
George W. LeMaitre: Thanks, Suraj. And you're asking a question inside there, what's the turnover rate probably, and it's 12% right now. I think it's normal and fine, and I've been here for 33 years. We've had a sales force for like 25 of them, and it feels like it bounces around between -- in a really tight hiring environment, you might get it down to 10. And in a complex environment, it might be up to 15 or 20. So it seems normal to me right now.
Operator: Our next question comes from Nathan Treybeck of Wells Fargo.
Nathan Treybeck: Can you, by any chance, break out how much of the $2 million of Artegraft sales that you expect this year will be in Europe specifically? And what is the implied share that you're capturing? I think you out sized the market at $8 million before. And where could your market share realistically go in Europe?
George W. LeMaitre: Right. And you said $2 million in sales, right? I just want to confirm that, right?
Nathan Treybeck: Yes, you said $2 million oUS.
George W. LeMaitre: Okay. And again, if we have a -- most of this is European right now. It is -- we are quoting international, but most of it is European for the time being, except for that South Africa plug. But yes, we've been quoting $8 million there and $8 million rest of world, right, not U.S. and not Europe. So we're saying it's a $16 million market for now. And again, this is to be discovered as time goes by. But obviously, 2 divided by $16 million is what we think is going to happen right now. But yes, Dave's got something to add as w ell.
David B. Roberts: It's a good question. In a way, we're kind of building a market OUS because when you think of dialysis access, which is where Artegraft is used primarily outside the United States, the only biologic company is LeMaitre with Omniflow in Europe, and that's only maybe 15% or 20% used in dialysis access. So --really, in terms of thinking about market share, we're really creating the market OUS. And I think that's what makes it so exciting. So yes, I think if we continue to see success, could we view the market as larger than 8+ 8? Possibly. But we're really pleased by the initial success. It's very early days, but the initial success with Artegraft OUS.
Nathan Treybeck: That's very helpful. And then in terms of assuming you launch RestoreFlow in Germany or Ireland, any way you could kind of quantify the market opportunity in these countries and how we should think about the ramp once you get that approval?
David B. Roberts: Yes. So it's Dave again here, Nathan. The Allograft market in Cardiac and Vascular is very well understood in the U.S. It's $100 million to $150 million market roughly. We think for various reasons, pricing, et cetera, the European market is a little bit smaller, but not materially smaller. And so for us, could we think of an $80 million or $100 million market in Europe at maturity? I would say, yes, that's possible. But it will take a while to get there because, as George pointed out already in his prepared remarks, once we get approval either in Ireland or Germany, that doesn't automatically grant us approval in the rest of Europe. We have to go sort of door-to-door, country by country seeking those approvals. And then -- and that will take a little time. But then secondly, and this is a pretty important point, allografts, unlike the rest of our business, are a supply-constrained product. In general, if we could get our hands on more Allografts, we could sell more. And so I will give kudos to our team in the Chicago area who does the processing. We have been able to start an inventory build in Chicago for Europe. But I personally think that will be somewhat of a rate limiter over time, and we've got to figure out a way to satisfy all the demand in Europe over time. But in the near term, we're very excited about Ireland or Germany. And then as we turn on Canada and the U.K., we met with a lot of success, and we don't really have a reason to believe that we won't in the markets where we first gain approval. So kind of one step at a time, but we're optimistic. And I mean, for us, $100 million-ish market in Europe is fairly big. to a lot of companies, that's just a niche market.
Operator: Our next question comes from Daniel Stotter of Citizens JMP.
Daniel Walker Stauder: Just first one on free cash flow. It was really strong this quarter. I think you called out a record in cash from operations. Just in terms of free cash flow for the rest of 2025, how should we think about this in the back half of the year? With that in mind, how should we think about CapEx, working capital, specifically inventory as we consider some of the regulatory approvals and geographical expansions that are coming the rest of the year?
Dorian LeBlanc: Yes. Dorian and Dan, thanks for the question. As you mentioned, $20.3 million in cash from operations, a record for us. I think it's probably best to add the quarters together and think about them as the first half of the year, where we're at $29.4 million. And we do have some benefit from working capital, and that can be a little -- it can have some variability to it. But if you kind of look at our cash from operations and compare it to our operating income, we're pretty much in sync. We're not a fonybolony earnings company. Earnings create cash here, and that's what you're seeing. Although there's some lumpiness from period to period, I think over the long haul, you can expect those to track with each other. On CapEx, we've had $1.3-ish million of CapEx for the last 2 quarters. don't expect that to change materially. We have some build-out going on here and just some maintenance CapEx, but nothing material that's going to change to the back half of the year.
Daniel Walker Stauder: Great. And then just one follow-up on R&D. I know it's a small number, but that stepped down a bit. So I just wanted to ask how we should think about that in the back half of the year as we consider the different contributors to overall OpEx for the rest of '25.
George W. LeMaitre: Right. This is George. And Dorian mentioned this before, but there is what we're terming a piece dividend around here in terms of we just got done with the MDRs. And so it's light around here. Certainly, there's going to be other stuff that's popping up that's going to be a 6% spend on R&D is quite low for us. I think we feel more comfortable. All of the charts on the wall say sort of 8s and 9s and 10s for us. So it probably needs to go up at some point. But for now, that's where we're at. And obviously, we're not just going to go out and spend it to spend it. It's helping us a little bit on the op margin side right now.
Operator: Our next question comes from Ross Osborn of Cantor Fitzgerald.
Ross Everett Osborn: Congrats on the strong quarter. Starting off with RestoreFlow, what has feedback been with the cardiac call point? And what can you do to help facilitate adoption within this group?
David B. Roberts: Do you mind repeating that question one more time?
Ross Everett Osborn: Yes. Just regarding the cardiac call point, how has feedback trend is ? And what can you do to help facilitate adoption within this group?
David B. Roberts: So I would say the feedback has been fantastic. I mean, obviously, Ross, it's Dave. Obviously, you heard that 61% unit growth figure in cardiac allografts, which that's a pretty large number for us. We're really happy to be seeing that growth. I will say what's different with cardiac allografts this quarter is we're starting to see some traction in the United States. So for us, the story of cardiac allografts has been adoption in the U.K. and Canada with the U.S. lagging behind. But with the increasing adoption and popularity of the Ross procedure and frankly, just a greater focus of our U.S. reps on allografts and a little bit on cardiac. -- we're seeing a nice uptake with that. And we do find that our vascular reps because they're very familiar with allografts are able to support the cardiac cases.
Ross Everett Osborn: Okay. Great. And then when thinking about the RestoreFlow initial launch in either Ireland or Germany, outside of the supply headwinds, are there any other large hurdles you guys are going to have to overcome that may be unique to those geographies relative to the U.S.?
George W. LeMaitre: This is George. On the positive side, you have sales forces that are really excited to see this product in Germany and Ireland because -- they've heard so much from their British colleagues as well as the American on the plus side, they have that. There is one detail about Germany, which they -- the German regulators want to see paperwork from every single recovery center where we get these cadaveric pieces. And so there's another sort of layer of rate limiting there by the German authorities. We do -- so they want to see all the paperwork that normally the British, the Irish Canadians have decided we don't need to see that paperwork, but the Germans do. And of course, Germany is going to be a lot bigger than Ireland. So you got that. But we'll work through it. That's what we do here, and we have folks that do that for us all the time. So we'll work through it, but that's another potential small stumbling block. But almost certainly, we'll get through that.
Operator: Our next question comes from Frank Takkinen of Lake Street Capital Markets.
Frank James Takkinen: Hi, thanks for taking my questions. I was going to swing back to RestoreFlow cardiac. I'm just curious if that has anything to do with -- I think there was a competitive dynamic where one of your competitors had a little bit more supply-constrained operating status in recent quarters. Does that have anything to do with the unit growth you saw? And if that is the case, do you see that impacting unit growth going forward if their supply improves?
George W. LeMaitre: Frank, it's George again. Thanks for the good question. It's a great question, actually. To be quite honest, we really didn't know about that while it was going on. You're obviously referring to Artivion. There's only 3 players in this market and Artivion is one of them. We didn't know about that when it was really live and happening, and we found out about it in retrospect. -- if the phenomenon had been limited to, hey, in Q1, we sold a lot of stuff, I might say, yes, it probably had something to do with that. But I think you can see our numbers for the last several quarters. RFA keeps going very, very well, particularly cardiac. So I don't really think it's that, although it's illogical to say when a competitor leaves the market, something doesn't happen. So we didn't know about it while it was going on, but our results have been durable for the last several quarters. So I don't think it's that. But you bring up a good point. Remember, they're not participating to much extent in Canada, and they're not participating at all in the U.K., which is where lots of this growth comes from. So at least on those 2 markets. And then you've heard Dave here call out that the big surprise for us now is in the U.S. recently. That might tie to it a little bit, but the big surprise recently is in Q2, the American market seems to have opened up for us. But we think that's for a different reason, which is our sales manager ran the Canadian business, and he did a great job running the Canadian business, and now he's taking his game plan and putting it on the U.S. business. So we think that's the reason for the great work in the U.S.
Frank James Takkinen: Helpful. And then maybe just on the sales force. Obviously, you had a big bolus of hiring in Q1. My assumption is a lot of those folks are probably ramping up throughout Q2 and maybe the fruit to bear with them is still coming? Or did they have a material impact on kind of the strong Q2 results as well?
George W. LeMaitre: Right. I always -- I never know how to answer this question because all of our charts say they impact immediately, and it's really counterintuitive. It makes a lot more sense that it takes someone 3 or 6 or 9 months to figure out how to do their job well. But our charts all say you hire people when it starts happening. So I'm going to give you both answers and say, I've been doing this for a long time. I still can't figure it out.
Operator: Our next call comes from Jason Wittes of ROTH.
Jason Hart Wittes: Maybe just a couple of follow-ups here. One, you mentioned the R&D was light this quarter, but I think is the implication that it remains light for the rest of the year? And then related to that, in terms of sort of new product introductions and regulatory approvals, I know we're waiting on the U.K. and Germany. Is there anything else that we should have on our radar to be aware of?
George W. LeMaitre: Sure. Jason, how are you doing? Maybe I answer the back of the question. You're saying we're waiting on Ireland and Germany. I think that's what you meant to say.
Jason Hart Wittes: That's correct.
George W. LeMaitre: No problem. And in my script, I would say we're also waiting on Chinese XenoSure peripheral that's a biggie. -- and that we're making the final filing in Q4 here, and then we hope in '26 to get an approval for that. So I'd say those are a couple of the biggies. And then also somewhere in the script there, I think, is we're waiting on Artegraft in Singapore, Korea and Canada, Canada being the very big one there and Korea sort of big and then Singapore, not that big for us. So I think you've got a -- you do have a nice regulatory pipeline in front of you, and we can all see the nice results of Artegraft in Europe and South Africa. You can hear that, too. But way back at the beginning of your question, you were asking for, hey, is the R&D -- maybe my answer wasn't that clear. I would say gosh, as the year goes on, I'd hate to give guidance on inside of where the expenses are. I think implicitly, you're seeing an op expense guidance, and it's going down a little bit in H2, as Dorian has detailed versus H1. But where it comes, whether it's in G&A, whether it's in sales and marketing or R&D, I don't think we should probably guide on that or detail that, if that's okay.
Jason Hart Wittes: Okay that’s fair I appreciate it. I’ll get back in queue.
Operator: Ladies and gentlemen, that concludes today's conference. I would like to thank you for your participation. You may now disconnect. Have a great day.